Operator: Hello, everyone, and thank you for joining the Morgan Advanced Materials Full Year Results 2025 Call. My name is Lucy, and I'll be coordinating your call today. [Operator Instructions] It is now my pleasure to hand over to Damien Caby, Chief Executive Officer, to begin. Please go ahead.
Damien Caby: Thank you, Lucy. Good morning, everyone. I'm Damien Caby, the Chief Executive of Morgan Advanced Materials, and today with me is Richard Armitage, our CFO. I'll kick off today with a summary of our full year results at group level. Richard will then take you through the financial positions and the technical guidance. And I will come back to share progress against the strategy that we unveiled in December last year and our outlook for 2026 before I'll be moving on to Q&A. So in 2025, we delivered a resilient performance in the backdrop of challenging market conditions. We're executing our strategy, making headway in [ our levers ], and we're well on track to deliver early wins in 2026. We're focused on maximizing our portfolio value with the sale of MMS and the initiation of a strategic review of our Thermal Products division. Our outlook for 2026 is in line with current market expectations. We're expecting organic constant currency revenue growth of 1% to 2% in end markets, which have broadly stabilized. The 3.3% OCC decline of our revenue last year was driven by the well-publicized downturn of the semiconductor market. In 2025, revenues in this market remained stable at low level. In the other segments, changes in our sales offset each other. We continue to deliver strong growth in Aerospace and Defense, driven by new engine and MRO orders. Healthcare revenue declined year-on-year due to tariff-related inventory adjustments and lower volumes in some of our customers' mature product lines. In the process and metal industries, we saw mid-single-digit declines in Europe and in Asia. Petrochemicals and Chemicals held their ground with growth in North America, offsetting declines in Europe. As you can see on the chart to the right, through the past 18 months, group OCC revenue has been stable. Despite the end market environment, we delivered a resilient headline margin at 9.6%, in line with expectations. The continued positive contributions of pricing and efficiency improvements, the benefits of our simplification program and cost control offset the majority of the impact of volume and mix. Our results announcement released earlier today provides our views on the outlook for 2026. I will come back to that at the end of the presentation. I'll now hand over to Richard.
Richard Armitage: Thank you, Damien, and good morning, everyone. I would like to start with an overview of the financial results for the year to the 31st of December 2025. As expected, headline revenue was GBP 1,030 million, reflecting a 3.3% drop on an organic constant currency basis. Following a decline of GBP 5.3% in the first half, revenue in the second half was broadly flat year-on-year, which points to a degree of stabilization in a number of our end markets, allowing for pricing of around 3.5% for the year, the volume decline in the year was around 6.7%. It is worth noting also that the 3.3% revenue decline equates to the decline in semiconductor revenue of around GBP 33 million, demonstrating the resilience and stability of the rest of the business. Group headline adjusted operating profit, which includes GBP 5.3 million of MMS operating profit predisposal, was GBP 99.1 million, a reduction of GBP 29.3 million, giving an adjusted operating margin of 9.6%. Return on invested capital was 14.1% slightly below our through-cycle range but still delivering an attractive return. Headline free cash flow was an inflow of GBP 45.4 million, which shows an improvement over last year as we continue to improve our working capital. Adjusted EPS was 15.9p per share, and we have held the total dividend for the year flat at 12.2p. Specific adjusting items amounted to GBP 47.6 million for the year on a continuing basis. Turning to look at the reporting segments in more detail. We can see that the principal driver of performance carbon revenue was the year-on-year decline in semiconductor, albeit that semiconductor revenue stabilized during the year with the second half broadly flat half-on-half. Aside from semiconductors, the business has shown good stability through the downturn. Aerospace and Defense was slightly down year-on-year due to the timing of some large defense orders, whilst our rail and energy businesses continue to perform well. On a sequential basis, the decline through to the first half of 2025 and subsequent stabilization is also visible. The impact on operating margin of low volume and a weaker mix was partially mitigated by substantial efficiency and simplification benefits, which limited the margin decline to around 2.6%. Technical Ceramics has shown very good resilience over the last 2 years and was able to achieve revenue growth during 2025. The main driver has been aerospace and defense with growth of 22% in that sector, driven by the demand for new aircraft, along with robust maintenance revenue, driven by increased fleet utilization. Technical Ceramics Industrial business also showed low single-digit growth despite the industrial downturn, helped by its focus on a differentiated product range and customer service. Partly offsetting this were health care, which was affected by lower volumes for some mature product lines and semiconductor, which followed the market downturn. Operating margin also remained stable at 11.5%, with a slightly weaker mix being offset by efficiency improvements. Thermal Products performance was influenced by regional economic dynamics, as you can see here. Europe showed the most marked decline due to lower investments in process industries, whilst weak demand in metals and automotive impacted the business globally. However, we can see from the sequential graph that most of this decline was between the first and second halves of 2024 with revenue having been broadly stable since then. In the strategic growth area of fire protection, double-digit growth was achieved with strong demand from the Middle East. The principal driver of the 3.3 percentage point decline in margin was volume, given that Thermal Products is a high fixed cost business with a roughly 40% drop-through on revenue movements. We also experienced operational issues in our U.S. business, which negatively impacted margin by 1 percentage point, then FX and hyperinflation accounting in Argentina causing a further 1 percentage point decline. We would note that we would expect a strong drop-through in thermal reversing this volume effect as markets recover. We're also pressing ahead with a substantial site improvement plan that will benefit the U.S. business. Turning now to the profit bridge. We can firstly see a negative FX impacts arising from the progressive weakening of the U.S. dollar versus sterling, with total FX reducing margin by 40 basis points. The average U.S. dollar rate was $1.32 in 2025 compared with $1.28 in the prior year. The principal impact on margin, though, was volume and mix, which led to a 4.4 percentage point reduction. This was caused by the volume decline and associated overhead under recovery combined with the mix effect of semiconductor sales being weaker than expected. We were able partly to offset this with 1.7 percentage points of margin derived from another year of consistent delivery from our simplification and continuous improvement programs. We expect this performance to continue in 2026 and also to benefit from our transform activities with net benefits of circa GBP 11 million expected this year. Pricing of around 3.5% served to offset inflation of around 5% on cost of goods sold. Our simplification program is nearing completion, GBP 16 million of in-year benefits delivered in 2025 as planned. And it is worth remembering that the work we have done to reduce our manufacturing cost base over the last 3 years, coupled with our planned optimization opportunities, has given us the opportunity to accelerate margin improvement via a healthy drop-through as end markets recover. We incurred significant specific adjusting items at GBP 47.6 million. The largest item was a noncash impairment of GBP 15.6 million in relation to our semiconductor assets in the U.K. This is part of the previously announced GBP 60 million capacity investment and represents equipment that is devoted to specific product raise for which demand is currently uncertain. Costs associated with our business simplification program amounted to GBP 13.4 million. Implementation costs to date amount to GBP 35 million, for which we have delivered benefits of GBP 24 million. Once complete, we expect total cumulative savings of GBP 27 million for implementation costs of GBP 40 million, which is in line with our original projection when the program started in 2023. Absent any material adverse developments in our external environment or portfolio changes, this will conclude our restructuring activities for the time being. Expenditure on our ERP rollout plan has progressed as planned with GBP 13.3 million incurred on design and configuration in the period. We expect to incur around GBP 20 million in 2026 before the program starts to wind down during 2027. We have also recorded a movement in the fair value of our shares in Foseco India Ltd as at the 31st of December of GBP 7.2 million, which values our holding at GBP 47 million. However, the business has recently released a strong set of results for 2025. And if our holding were valued today, it would be approximately GBP 54 million. Moving on to cash flow. I would firstly note our working capital, which showed a much improved performance over prior year with an inflow of GBP 50.4 million. This comprised an underlying improvement of circa GBP 13 million, resulting from a strong focus on inventory and receivables management, supported by a further GBP 38 million of nonrecourse working capital arrangements. Net capital expenditure amounted to GBP 65.9 million, lower than the prior year as our investment in semiconductor capacity came to an end. Cash flows relating to exceptional items totaled GBP 22.8 million, comprising simplification costs of GBP 10 million and investments in our ERP rollout of GBP 13 million. Free cash flow was therefore an inflow of GBP 45 million. We did receive a net GBP 10 million after tax and fees from our sale of MMS with the balance of consideration due to be received later in 2026. We completed the second tranche of our share buyback and as previously announced, paused the program in early January. Net debt finished at GBP 232 million, excluding lease liabilities, in line with our expectations and representing 1.8x EBITDA. As a reminder of our capital allocation policy, we are fully aware that the decline in our EBITDA has resulted in our leverage moving above our target range of 1 to 1.5x. We're focused on correcting that, and we'll bring leverage to around 1.5x over the next 2 years. Our target leverage, therefore, remains in the 1 to 1.5x range in relation to ongoing operations. And as before, we would consider increasing this in due course into the 1.5x to 2x range in the event of a compelling acquisition. Whilst capital investment remains a priority to support organic growth opportunities, we foresee limited needs for capacity investment and expect to be able to maintain overall CapEx at around GBP 50 million or 1.2x depreciation for the next 3 years. We will maintain a dividend for now, then grow it in line with adjusted earnings once cover returns to around 2.5x. Once stabilized, we will consider the need to fund inorganic investment alongside additional returns to shareholders. The Board will review the situation regularly, recognizing the opportunity that additional returns present to return cash to shareholders and enhance earnings. Finally, I will move on to technical guidance. As noted, we expect capital expenditure of around GBP 50 million. Our net finance charge will be around GBP 24 million, increasing in part due to the expiry of GBP 94 million of fixed debt during the year on which we have been paying an average interest rate of 3%. Our effective tax rate will increase slightly into the 27% to 29% range due to our mix of profitability shifting slightly towards higher taxation regimes. I would also note that so far, the direct impact of tariffs has been immaterial, although we continue to note the potential for an indirect impact on end market demand. We would expect year-end leverage to be around 1.7x. Thank you. And I would now like to hand back to Damien.
Damien Caby: Thanks, Richard. I'd like now to shift the focus towards the future. I'll start by reminding you of our path forward as a group. We have a clear strategy to unlock our potential. It is founded on 3 levers: transforming operational effectiveness, driving stronger growth and maximizing portfolio value. In transforming operational effectiveness, we moved beyond continuous improvements by addressing underperforming large sites to reduce cost and enable growth, by leveraging the group's scale for back-office efficiency, and by enhancing business analytics for faster, better informed decision. To drive stronger growth, we pursue more proactive programmatic customer collaborations and expansions in selected markets, focusing where we have the strongest right to win and continually improving it. To maximize our portfolio value, we are shaping our portfolio to focus on the markets and on the applications where we have or established advantaged and integrated positions. Our goal is to ensure that our resources are focused where we can create the greatest study. One avenue to achieve this is to set up partnerships along attractive value chains where we want to increase our competitive strength. Another avenue which we're pursuing is to actively manage our portfolio of businesses with bolt-on, M&A and divestments where we're not the best owner. In the near term, our road map will achieve 12% EBITDA margin by 2028. This will be largely driven by the first 2 pillars of the strategy, transforming operational effectiveness and driving stronger growth. We have also initiated the actions which will bring margins further up in the medium term, reinforcing collaborations with key customers, building up and progressing our pipeline of organic and inorganic adjacencies. Our teams are focused on executing our road map and moving at pace. This chart summarizes the key progress milestones of the past 3 months and some of the next steps. Starting with Transform. In procurement, Michael has to join us on February 1, reporting to me. He brings a strong experience of setting up and leading procurement organizations in specialty industrial companies. He will establish group-led procurement at Morgan, deliver early wins in selected categories during the second half of this year. Turning our large underperforming sites. In the second part of 2025, we consolidated ceramic fiber manufacturing in the U.S. into one site. Rationalization of our make-to-stock product portfolio is 70% complete. The commercial cross-qualification of our manufacturing lines has started with the objective to further optimize asset utilization in the course of next year and to achieve productivity improvements. The planning for the other large sites is progressing well, and the implementation will start in Q2 at the second site. We are confident that the procurement and site turnaround initiatives will deliver at least GBP 20 million of margin improvements by 2028. In back office, since December, we've expanded the scope of our European shared service center to include finance back office activity for our U.K. sites. And in digitalization, our new enterprise-wide ERP was implemented at a pilot site last year, and we are ready to start full deployment this spring in successive waves across our businesses. This will be carried out in a sequence designed to quickly improve costs and margin management and to optimize product flows and working capital across our network. Turning to driving growth. Dedicated teams have been set to drive stronger growth in selected markets and are acting at pace. I will report on their progress in future earnings calls. I am pleased to see early benefits from initiatives launched in 2025 with projects in low-carbon steel making and improvements in on-time delivery at sites manufacturing replacement parts. We have decided to deploy capital in selected high-growth areas. These are bite-size customer-backed capacity increases. We're expanding our armor capacity to scale up our supply backed by government contracts. We're increasing capacity for parts used in iron implantation in semiconductor fabrication to support the increasing demand and localization strategy of existing customers. To maximize our portfolio value, we're pursuing partnerships along our strategic value chains. An early achievement is in fire protection in the Middle East, where we've been teaming up with local duct manufacturers. We have worked with a number of them to design, qualify and certify their fireproof smoked extraction ducts with our fire wrap system to meet more stringent fire ratings, and our revenue has increased by 60% in 2025. Last but not least, we're announcing today that we have commenced a strategic review of our Thermal Products division. At our Capital Markets event in December, I laid out our clear path for this division to deliver GDP growth and sustain 8% to 10% margins. It consists of the optimization of asset utilization, the turnaround of the performance of the largest side, growth in high-value segments. The execution of this plan is progressing at pace. A review we're announcing today will assess a full range of options, including a potential disposal to maximize the group's margin and growth profile, and to ensure that our resources are deployed where they can deliver the strongest long-term returns. Further updates will be provided in due course. Looking forward, our outlook for 2026 is unchanged. With stabilizing end markets, we expected organic constant currency revenue to grow at 1% to 2%. We're seeing continued growth in aviation and defense and positive trends in power and rail. We're seeing slightly improving project activity in petrochemicals and in the processing industries, but continued weakness in Europe, in health care, and in semiconductor sales, where we are benefiting from the rebound in silicon, which starts to offset continuing inventory adjustments in silicon carbide. Supported by our established track record of efficiency improvements, which contributed 1.7 points in 2025 and the first results of our operational transformation initiatives, adjusted operating profit margin will return to around 10%. Leverage will start to return to our target range. As you can see, we're moving at pace on all our strategic levers, and we remain confident in our financial framework. Thank you. That ends our formal presentation, and we will now take questions. I will hand back to the operator to coordinate that.
Operator: [Operator Instructions] The first question today is from Scott Cagehin of Investec.
Scott Cagehin: Just a few questions for me. First one being, Richard, on working capital, how do you see that playing out through '26 based on your revenue guidance? The second question is about thermal products, sort of why announce now, given the strategy update was in December. It was sort of obvious that it's lower growth, lower margins, but has that been a catalyst for you to announce that now? Or is it just a case of freeing you up to do something with it? And then the last question is regarding the Foseco stake that you have. I think I remember you tied up to the end of the half year, and I assume you plan to dispose of that holding. Is that the case?
Richard Armitage: Scott, firstly, on working capital assume flat year-on-year for this year, I think. Secondly on Foseco, we have a lockout period until towards the end of June. We do then intend to sell down our holding over a period of time. That will depend on market conditions, and we are preparing actively a plan to help us do that. I'll ask Damien to comment on the thermal question.
Damien Caby: Yes. Thanks, Scott. So as far as the timing of this announcement. So if you remember, in December, we announced that we were going to take a proactive approach to our portfolio, and we laid out a clear plan for thermal. Thermal is delivering on this plan at pace. We've been, in the meantime, very proactive and very -- and moving at pace on making the first steps of assessment of this strategic review. And we've reached the point now given the complexity of this business that it is time to move forward to the next phase. So it's really the result of us following up on our commitment in December and moving at pace. Richard?
Scott Cagehin: Just a quick follow-on. Is that business disposable though? Like is it -- have you separated it clearly? Can you dispose of it? Or is there some work to do there?
Richard Armitage: Thanks, Scott. We've done some preliminary assessment. We believe if the decision were made to dispose of the business that it is relatively separable, but there is still a considerable amount of investigation to do.
Operator: The next question comes from Jonathan Hurn of Barclays.
Jonathan Hurn: Just a couple of questions from me, please. Firstly was just on the semiconductor market. I wonder if you could talk a little bit more about that and obviously, the 2 sides of that business. Just maybe firstly just on the silicon side, what kind of sort of rates of growth are you seeing in that business? And what's the opportunity to get further penetration of customers there? And on the silicon carbide, is it still your view that, that market starts to pick up in 2027? That was the first one. The second one was just sort of following on Scott, in terms of thermal products, like you say, you've done work on it. But can you give us any color on what you think the potential tax leakage of any sale could be? And also, if you do sell it, is there any sort of impact on the wider pension?
Damien Caby: Thanks, Jonathan. So I'll start with the semi-silicon over Semicon question and Richard could pick up the second question. So we're definitely seeing a strong rebound in silicon semiconductor, which by now represents approximately, I mean, more than half of our semiconductor business. I mean, the industry is reporting 20% growth rate. The growth rate that we are seeing with our products is lower than this because part of the growth in the market is tied to a mix improvement in the quality of the wafers. And for us, it doesn't make a big difference. So we're seeing this. We are well placed with customers who are used to buy our products along the manufacturing chain of this. And depending on their inventory positions and their own demand, we're seeing the rebound in this part of the market. As far as silicon carbide is concerned in 2027. I'd say that this is still a very dynamic market in -- especially in the main regions where we're supplying, which are Europe and the United States. So -- we have -- as Richard mentioned, we've seen some stabilization last year. We're managing this and staying attuned to the market. And as I said as well in the capital market event, looking for ways to expand our position via partnerships in China where this market is really moving big time, at least the early part of the value chain.
Richard Armitage: Jonathan, regarding potential tax leakage, we have made an estimate, albeit we would like to do more work on it. It points to a number that's fairly middle of the range in the scheme of these things. It is not a number that we think would prevent the sale, if it were to progress being value accretive. Impact on pension, there is a limited connection between the business and the U.K. pension fund, so not a particularly high exposure. We are going through a process of consultation with the relevant pension funds and other stakeholders as we're required to do.
Operator: The next question comes from Harry Philips of Peel Hunt.
Harry Philips: Several questions, please. Just trying to get some thoughts around the broader semicon sort of profile in terms of where this year profitability might go in terms of you've written down, obviously, part of the asset. I was just wondering when you -- when you consider this GBP 7 million sort of headwind that you potentially had, how that might reduce on the write-down? And obviously, if you don't commission everything fully, then clearly, just wondering how that sort of profile plays out in '26 and '27? Similarly, just in terms of the sort of time line, if you like, for the transform process and the timing of those cost savings? And then maybe accompanying that along with the ERP, the sort of restructuring cash you might incur this year? And then very finally, just noticed in the working capital comment, the use of sort of factoring and what have you. Just wondering thoughts behind that? And when you talk about working capital being neutral in the current year, does that assume sort of the factoring is a sort of one-off move in the year just gone? Or is that sort of more actively being pursued, please?
Richard Armitage: Harry, 4 questions in 1 there. Very good. Thank you. So Semicon, I understand the question. So as Damien has alluded to, the supply chain into what you might call the traditional Semicon market primarily for silicon chips has picked up a little. We are expecting a little bit of an uptick of that during the year. And right now, we would anticipate probably commissioning the remaining assets in our program towards or around the end of the year. So I'm not going to be specific around what that commissioning costs will be, but it's not GBP 7 million is probably the order of GBP 1 million or GBP 2 million, something like that towards the end of the year. You mentioned ERP and restructuring. So ERP of around GBP 20 million, restructuring a little bit based dependent on timing, but sort of GBP 2 million to GBP 4 million, something like that. So in that range of GBP 22 million to GBP 24 million for the year, I think. Working capital. So underlying, we would expect to be roughly flat across the year and the factoring balance also to be relatively stable. Now each of those could move by a few million pounds, but broadly neutral. The thinking behind the factoring was that we set out some time ago to establish a number of flexible financing facilities. So as you know, we have some fixed debt maturing this year. Interest rates are still relatively high. So we wanted flexibility in our financing, and actually, this working capital financing is attractive in terms of pricing. So typically, at a sort of all-in interest rate of 4.5% to 5%, whereas to replace fixed debt at the moment, it could well be above 5.5%. So that was the thinking behind that.
Harry Philips: Fantastic. And then just to sort of transform potential benefits to get to that GBP 20 million by '28?
Damien Caby: Yes, we're moving at space on this, Harry. So we're going to start to see some benefits in the second half related to procurement and the ramp-up will continue through 2027. We're very confident that we will get to the GBP 20 million by 2028.
Operator: [Operator Instructions] The next question comes from Andrew Douglas of Jefferies.
Andrew Douglas: Just a quick one for me following on from Harry's questions. Can you just talk to me about ERP costs post '26, you say that there's a ramp down in '27. Can you just give us a rough indication of what '27 does? And is it fair to assume that there's nothing in '28? Or is it a slow steady measured decline?
Richard Armitage: The answer for 2027 depends a little bit on the speed of our rollout. So I might write this minute expect GBP 20-ish million to be coming down to maybe GBP 15 million or something like that, but we'll have to come back in due course. 2028 would, if anything, be a tail end few million pounds, I suspect.
Operator: The next question comes from Mark Fielding of RBC.
Mark Fielding: Just a couple of follow-ups to the earlier comments. In terms of the thermal products review. Just can you give us a bit more thoughts around the time line for the next update and what we would be expecting of that? It feels like you've obviously thought about disposal option, but it's relatively early in that planning process. So is it --- is the next update more going to be a fix like this is what we think we're probably going to do? Or could we be further advanced at that point? And then secondly, in terms of the wider portfolio, obviously, this is a big chunk of the portfolio following out from the Molten Metal Systems. Is that the end of the portfolio streamlining? Or is there more that you are thinking about and reviewing in the business?
Damien Caby: Okay. Mark, thank you. Regarding the time line, so as you've noticed, there's been a real concrete rigorous work done before we made this announcement. The thermal business is a complex business. There is 30 subsidiaries. There is a number of JVs. This is the step that we are moving into now is a complex and an important step. As you've seen, we're really moving at pace. On the other hand, we have to remain rigorous and focused. So we'll provide an update in due time. As far as the wider portfolio is concerned, we will continue to review how to maximize our portfolio value moving forward. As you can imagine, this strategic review is going to be an important effort for us to carry out in the short term.
Operator: The next question is from Harry Philips of Peel Hunt.
Harry Philips: Sorry to come back again. But just sort of tidying up on various bits and pieces and sort of slightly in keeping with Mark was just saying about possible disposal. But obviously, the central cost line has gone up to GBP 10 million. Is that a sensible number? Is that a sort of annualized number we should run with going forward? And then clearly, that's quite a step-up from where it was pre the exit of MMS. I'm just thinking about if thermal goes, is that sort of a point in time when -- if it goes rather, there's a sort of material change to that central cost line?
Richard Armitage: Thanks, Harry. Yes, it's a good question. The increase is driven by IT. And I suppose you could describe it that we're going through a hunt in which the underlying running costs of our new ERP system and other things that we're investing in, bearing in mind that the transform program that we defined in December includes trying to make rapid progress in making use of digital tools, creates a sort of hump in expenditure for a couple of years. There comes a point where we can then start to remove some of the legacy costs of IT in the business and perhaps that comes down. So I think that's the best way to do it. I'm not going to say what it's going to come down to, but we're going through that period of one, replacing the IP, but also investing heavily in digital tools to help us transform the business. As to what happens should the disposal of thermal go ahead, that's part of what we will investigate in the next phase of work.
Harry Philips: Okay. And then just to be -- so for sort of modeling purposes, just running a 10, 11, is that just a sensible assumption or just might it -- given the level of activity you've highlighted through the presentation, might it spike up a fraction this year? I suppose what I'm trying to get at it is the guidance is, as you've laid out, what's sort of central cost line assumption within that?
Richard Armitage: We wouldn't expect a further increase.
Operator: [Operator Instructions] We have no further questions at this time. So I'd like to hand back to Damien for closing remarks.
Damien Caby: Thank you. So key messages for today, resilient performance in the backdrop of challenging market conditions, outlook for a revenue growth of 1% and 2% in end markets, which have stabilized. And we're executing our strategy at pace. We're making headway in all the levers and focusing on maximizing our portfolio value with the sale of MMS and the initiation of a strategic review for Thermal Products division. Thank you very much for attending this call, and good rest of your day.
Operator: This concludes today's call. Thank you all for joining. You may now disconnect your lines.